Operator: Good day. Thank you for standing by, and welcome to the Fourth Quarter 2021 CoStar Group Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to Bill Warmington, Vice President of Investor Relations. Thank you. Please go ahead.
Bill Warmington: Thank you, Blue. Good evening and thank you all for joining us to discuss the fourth quarter and full year 2021 results of the CoStar Group. Before I turn the call over to Andy Florance, CoStar Group's CEO and Founder; and Scott Wheeler, our CFO, I would like to review our safe harbor statement. Certain portions of the discussion today may contain forward-looking statements, including the company's financial outlook and expectations for the first quarter and full year 2022 based on current beliefs and assumptions. Forward-looking statements involve many risks, uncertainties, assumptions, estimates and other factors that can cause actual results to differ materially from such statements. Important factors that can cause actual results to differ include, but are not limited to, those stated in CoStar Group's press release issued earlier today and in our filings with the SEC, including our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q under the heading Risk Factors. All forward-looking statements are based on information available to CoStar on the date of this call. CoStar assumes no obligation to update these statements whether as a result of new information, future events or otherwise. Reconciliation to the most directly comparable GAAP measures of the non-GAAP financial measures discussed on this call, including EBITDA, adjusted EBITDA, non-GAAP net income and forward-looking non-GAAP guidance, are shown in detail in our press release issued today, along with definitions for those terms. The press release is available on our website located at costargroup.com under Press Room. As a reminder, today's conference call is being webcast, and the link is also available on our website under Investors. Please refer to today's press release on how to access the replay of this call. And with that, I would like to turn the call over to our Founder and CEO, Andy Florance.
Andy Florance: Thank you, Bill. Good evening, everyone, and thank you for joining us for CoStar Group's fourth quarter 2021 earnings call. Total revenue for the full year 2021 was $1.94 billion, which is a 17% year-over-year growth rate and above the high end of our guidance range given in late October. Fourth quarter revenue grew 14% year-over-year to $507 million, crossing through an important milestone of a $2 billion run rate for the first time. December 2021 was our best sales month ever. November, December and January were three of our four strongest sales months ever. Net bookings of $67 million in the fourth quarter of 2021 were a new all-time high for us, up 37% year-over-year and 43% sequentially. Our trailing 12-month bookings in the fourth quarter was $217 million, growing 18% year-over-year. This is a significant acceleration from the trailing 12-month bookings growth of 6% year-over-year in the third quarter of 2021. Our profit performance in 2021 was also very strong. Adjusted EBITDA for the full year was $647 million, an increase of 17% and 27% above the high end of our guidance. 2021 was a solid year of growth and expansion for CoStar Group. We made significant investments in the CoStar product, and our unified platform overcame significant overhead apartment market challenges Apartments.com. And we expanded our LoopNet and Ten-X businesses and established a solid foundation in the residential property sector. Our addressable market continues to grow every year and our estimation now approaches $100 billion TAM globally. A couple of weeks ago, I ran across our TAM estimate from the year 2003 and that indicated a global TAM of $1.6 billion. At that point, our total revenue was under $75 million. What a difference we've seen in 20 years is our revenue is now bigger than we estimated the total TAM global to be into 2003. It took us 16 years to go from 0 to $100 million revenue run rate in 2003, another 14 years to get to $1 billion annualized revenue in 2017 and only four years to surpass $2 billion revenue run rate, $5 billion here we come. CoStar revenue was $723 million for the full year 2021, up 9%. CoStar's year-over-year revenue growth accelerated throughout 2021. We started the year with a 4% year-over-year growth in the first quarter of 2021 and it climbed until we exited at 13% in the fourth quarter. The strength is coming from a combination of record sales rep productivity, continued product upgrades, price escalations on subscription renewals and strong renewal rates. Net bookings in the fourth quarter of 2021 grew 3x versus the fourth quarter of 2020 and matched our all-time high quarter in the third quarter of 2021. The CRE sales team is firing on all cylinders, delivering all-time high productivity in 2021, up almost 40% versus 2020. In 2021, we began upgrading the 18,000 accounts, who were using subsets of CoStar's full product offering. This program is very popular with our customers. And by the end of January, we have converted about 5,700 accounts to the full global CoStar product. Our original estimate was that the upgrade program would contribute $30 million to $40 million in incremental revenue over a 12- to 18-month period. The adoption rate, however, has been stronger than we expected. So we expanded the number of accounts to upgrade to include appraisers, owners, government agencies and many others. This raises the number of upgradable accounts from 18,000 to 21,000. As a result, we believe our original estimate that the upgrade opportunity would generate $30 million to $40 million is likely not to exceed $50 million. After having suspended price increases on CoStar subscription renewals during the pandemic, we restarted normal renewal rate increases in the third quarter of this year. Even at these higher price points from annual renewals and upgrades, clients continue to see strong value in the CoStar product and we see that in multiple metrics. Our accelerating revenue growth, for example, is coming from a combination of both volume and price. We're finding that as we upgrade accounts, we're often increasing their number of users and our user count is now over 170,000 subscribers. In addition, our renewal rate for CoStar remains very strong, 94% in the fourth quarter of 2021, well above the historic average of 92.4%. Our sales team has put a significant effort into strengthening our relationships with our clients. We see that effort pay off as our net promoter score has been increasing and as it does, so does our renewal rate. We believe that the launch of our new lender product on February 8 sets up another long-term growth driver for CoStar. Feedback, while the products in beta has been extremely positive, it's a truly revolutionary product that reverses the traditional flow of data in the industry. In the past, most lenders pulled data manually from multiple sources. CoStar lender, in contrast, automatically connects their loan portfolio to CoStar's industry-leading research market analytics and our proprietary Compass credit default model. The Compass credit default model is the most mature in the industry. And this makes this solution unique as the best source for portfolio surveillance, concentration risk, stress testing, current expected credit loss, CECL, supporting loan originations and underwriting. So we're very excited about this new product. We have a dedicated and trained sales team that will be focused on upgrading CoStar's over 1,000 existing lender clients and engaging 6,000 other prospective lenders across the industry. With FASB's second round effective date for CECL fast approaching in January of 2023, we feel our solution is well timed. There are literally thousands of institutions in the U.S. without an answer for CECL in place with this deadline approaching. Because CoStar offers lenders a range of solutions, it positions us favorably versus the competition. We continue to invest in long-term growth opportunities for CoStar and that includes international expansion. To support our growth across Central Europe, we've begun hiring managers and teams of photographers for Spain, France and Germany. These teams will be supporting both our CoStar and marketplace assets as we begin the process of deepening our industry data in the largest European markets. Overall, I feel very good about our growth momentum for CoStar and expected revenue – growth in 2022 to move above the historical 12% to 14% growth range to around 15% year-over-year. I believe CoStar has a $10 billion global market opportunity in which we are less than 10% penetrated today. Apartments.com sales bookings rebounded sharply in the fourth quarter, climbing $20 million over the third quarter driven by improved sales execution and price realization in the face of a continued ultra-low vacancy market. Apartments.com generated $675 million of revenue in 2021, up 13% year-over-year. Revenue growth in the fourth quarter was 6%, in line with our guidance of mid-single digits growth. 2021 was a good year for Apartments.com franchise. Average monthly unique visitors in the fourth quarter of 2021 were 25 million, up 17% year-over-year. That is 2.5x rent past average monthly unique visitors in the fourth quarter of 2021, 10x apartment lists, 17% higher than Zillow's rental network and 11x Zumper. Leads delivered by Apartments.com grew 46% in 2021 and 27% in the fourth quarter. To keep this marketing momentum going, in the first quarter of 2022, we will be releasing a new ad campaign featuring Gold Bloom in five new TV spots and eight new social video campaigns. When you see these new campaigns, I think you'll – these new spots, I think you'll agree with me that is some of the best work our team has produced to date. I look forward to having them out there. 2021 was a great year for our Multifamily customers with record rent growth of 11.3% and a vacancy rate of only 4.6%, the lowest ever recorded. 2022 is expected to have rent growth of 6.5%, which would be the second best year on record with higher but still very low vacancy. The strong industry backdrop for apartment owners, combined with a superior advertising value demonstrate their site traffic and leads, positioned Apartments.com to execute on our new pricing strategy. As a result, cost per lead has begun to improve and we saw a significant improvement in net bookings in the fourth quarter of 2021 over the third quarter of 2021. Client losses have been minimal. The strong net bookings momentum, combined with modest improvements in the macro backdrop, gives us confidence that Multifamily will be able to return to double-digit organic revenue growth in the second half of 2022. We estimate Multifamily is a $7 billion revenue opportunity for us in the U.S. And we believe that Apartments.com is well positioned to pursue that opportunity through unit penetration and demonstrated pricing power. 2021 was a very successful year for the LoopNet franchise. Full year revenue of $208 million in 2021 grew 15%. The Space for Dreams campaign delivered 2.2 billion media impressions in 2021. Unique visitors globally grew 22% year-over-year in the fourth quarter of 2021, and the LoopNet CRE network traffic was 10x the level of the network nearest competitor. Signature ad growth continued to be very strong, up 21% year-over-year in the fourth quarter of 2021. We continue to focus on expanding our sales distribution strength and are currently very close to our year-end 2021 sales headcount goal of 50 and continue to aggressively recruit salespeople for LoopNet. In 2022, we plan to continue the Space for Dreams campaign, support the industry and driving exposure for our advertisers. We expect LoopNet's revenue growth to continue in that 10% range for the first half of 2022 while we continue to build out a dedicated LoopNet sales team. I feel confident that we have never had stronger leadership, a better product road map, more innovative marketing, stronger technology and better traffic than we have now. That's why I believe that LoopNet is well positioned for strong growth going forward. We remain excited that LoopNet has the industry-leading position in what we believe is in the early days of a $4 billion to $5 billion revenue opportunity. Ten-X had a strong year in 2021, the division's first full calendar year as part of CoStar Group. Ten-X sold $2.2 billion in gross merchandise value in 2021, up 47% year-over-year and the company's best since 2016. In the fourth quarter of 2021, Ten-X sold $727 million in gross merchandise value, up 39% year-over-year, the company's best quarter since the fourth quarter of 2015. Full year 2021 revenue of $57 million grew 7% year-over-year. While total sales in the platform is climbing, it does not translate as quickly to revenue because we've lowered our fees to drive more high-margin volume and to play an industry role at greater scale. We're investing in significant site and process automation to be able to process these higher volumes at high margins. Ten-X continues to sell more and close more. Trade rate, which is total assets sold as a percentage of the total assets brought to the platform, has improved from 54% in 2019 to 66% in 2020 and 73% in 2021. And this has happened while we've been expanding the buyer base significantly. We estimate that Ten-X is a $4 billion revenue opportunity. To pursue that TAM, we're aggressively growing Ten-X' sales team currently up to 54 people. These new salespeople have been incredibly productive. In the first quarter 2021, new sales reps didn't add any new deal – didn't add any deals in the quarter. In the second quarter, they delivered 5% of the deals. In the third, they delivered 20%. In the fourth, they delivered almost a third of the deals. In addition, the research team in Richmond, which is in constant contact with brokers and principals, who can benefit from Ten-X, has begun to contribute deals to the Ten-X pipeline. We've opened round one of the Battle of Bids 2022, a gamification of the Ten-X bidding process in which people can guess the price at which a real estate property will be sold with a chance to win up to $3 million in cash prizes. Our goal is to drive broad brand awareness and platform participation. We think we've created a really fun gamification of the CRE sales process that will bring the Ten-X story live and engage tens of thousands of key prospects. 2021 was our first full year in the residential property sector. We generated $75 million of revenue. Homesnap revenue grew 52% year-over-year on a pro forma basis in 2021 driven by our larger direct sales force of 60 people. In the fourth quarter of 2021, Homesnap grew registered users by 12% year-over-year to 786,000 agents and as Homesnap Pro Plus paying subscribers grew 29% year-over-year to 68,000. Our acquisition of Homes.com in May of 2021 was very popular with agents as we implemented a your listing, your lead product approach and double the site traffic year-over-year in the fourth quarter 2021. That's right. We doubled the site traffic in the fourth quarter of 2021. Sounds familiar. Our strategy for transforming this massive TAM into revenue involves three phases: grow, monetize and scale. By grow, I mean, first, we're going to focus on increasing traffic and engaging buyers and sellers in our platform. By monetize, I mean we'll begin to introduce paid ads, which increase visibility for the clients and provide enhanced product features. And by scale, I mean moving into the phase where we stratify ad offerings to provide additional flexibility for agents and continue introducing more product features. Phase 1, growing traffic is our focus today. We have a track record of success in building organic SEO in our marketplaces, including Apartments.com, LoopNet, Realla, BizBuySell, Belbex and Lands of America and more. How do we do it? By building easy-to-use technology with sound SEO structures and with features and content to people value. For Homes.com, that means building a system that breaks down the wall between real estate agents and home buyers. 93% of homebuyers shop for their home on the Internet, and 90% of homebuyers use an agent to help find a home. Agent and buyers need to share information and feedback about home listings, but that's difficult today because they operate in two separate essentially closed and disconnected systems. Agents use their local MLS, which buyers have limited or no access to. Buyers use various real estate portals, but those portals are generally trying to get those buyers to use the portals small group of agents. So they're not effectively open buyer-agent collaboration tools across the industry. In fact, in essence, the structure was designed specifically to prevent transparency and collaboration. After watching hundreds of hours of interviews and focus groups, I can tell you that the thing that consumers and agents want that they're not getting and that what we can provide is collaboration. Homesnap is going to change that by enabling agents and buyers to share listings and feedback about those listings. By empowering agents with professional collaboration tools, we think it's possible to bring millions of buyers into our platform. The other takeaway from our interviews with consumers and agents is they want to be able to research the neighborhoods and parks that are important to them when they're considering a new home. We'll be creating powerful and professionally produced rich media and content of neighborhoods, parks and condo buildings across the United States. The other thing that Homes.com will do is support your listing, your lead by enabling potential homebuyers to easily contact the listing agent at no cost that agent. We believe that signees free leads to listing agents will increase the usage of Homes.com and Homesnap by all agents and provide a dramatically better user experience for buyers out there shopping. We expect Phase 1 of the product will be ready to go at the end of 2022, with a full launch in the first quarter of 2023. That said, you won't need to wait until end of 2022 to see our residential strategy in action. You will see a microcosm of our residential strategy when we launched Citysnap in New York in July. In October, we announced a partnership with the Real Estate Board of New York to create the first ever consuming facing – consumer-facing search website and mobile app for New York City's residential listing service. Similar to Homes.com, Citysnap will connect potential buyers and renters with listing agents consistent with our your listing, your lead philosophy and make collaboration possible through access to Homesnap's suite of tools. It will also feature promoted listings for residential real estate for the first time, similar to what we do with Apartments.com and many other real estate portals in other countries do. We believe that residential is a huge opportunity for CoStar Group. So enlarged, in fact that we believe our residential revenue will one day eclipse the revenue we generate in the commercial property sector. We estimate the U.S. opportunity for residential is $72 billion, and the global opportunity is $210 million, not $200 billion, $210 billion, 3x the U.S. opportunity. We believe that we can grow our residential revenue to $1 billion over the next five to seven years as part of our new long-term revenue goal of $5 billion in revenue by the end of 2027. At that scale, we would expect our adjusted EBITDA margins to be at or above our five-year target of 40% based on the success of similar residential marketplace businesses around the world. In order to achieve this goal, we plan to increase our level of investment in the residential business by approximately $200 million in 2022. The majority of this investment is funded by the significant cash generation of our existing business as we still expect to generate over $605 million in adjusted EBITDA in 2022, net of that residential investment. I'm excited to make significant progress this year and believe we have a unique opportunity to add another $1 billion revenue platform plus to our portfolio. In December, we announced plans to build a two-building 750,000 square foot corporate campus by James River in Richmond, Virginia to complete – be completed by 2024. Richmond is a vibrant growing affordable city with a great quality of life and 10 colleges and universities in the area that are both our research partners and our talent pool feeder. At CoStar Group and in Richmond, we are proud to employ amazing people who create and provide the best products, information, analytics and marketplaces that power the real estate industry. We strive to set the standard for accuracy and precision in everything we do because our clients rely on this data to conduct hundreds of billions of dollars in transactions. This type of exacting standard requires discipline, determination, commitment. And people of CoStar Group take great pride in their ability to deliver at this level. We provide our people with world-class industry training, enable them to advance professionally and enjoy long rewarding careers with CoStar Group. It does involve in measuring our performance and our work and having KPIs like any organization should have. Like any company, we have people who decide demands of our environment is not for them, and that's fine. For most who choose to leave, they're able to leverage the CoStar Group fundamental training, go on to enjoy productive careers in commercial real estate in other industries or continue their education. The real estate industry attrition rate in 2021 was 32.8%, but our attrition was slightly higher at 36.6%, about 300 basis points or so. The key difference between CoStar Group and the rest of the industry is that we achieved a 99% employee vaccination rate, and our employees have returned to working safely back in the office. As you know, that's very rare. Our staff is more productive back in the office. Collaboration, innovation is stronger. And training is much more effective. We do have a tiny vocal minority of disgruntled former employees who do not want to return to work. But despite that, we would take the same responsible long view direction again. Now that we're back in the office, our attrition rate has returned to normal, and over the past few months has, in fact, settled below the industry average. As hard as it was to return to the office, we're glad we've done it and feel for the companies that still have to cross that challenging bridge. We continue to believe that Richmond is a great center of excellence from which to grow our talent employee base that is supporting the real estate industry around the U.S. and across the world. Earlier today, we published our first sustainability report, which you can find in the Investor Relations section of the CoStar Group website. It's a very exciting piece. Thank you, Bill. At CoStar Group, we're committed to supporting ESG principles both inside and outside of our company. Inside CoStar Group, we have quietly been a leader in sustainability for decades, converting our fleet of nearly 200 research vehicles from gasoline to hybrid and then eventually to electric. We select LEED certified or ENERGY STAR rated buildings for most of our 800 – I'm sorry, our 80-plus offices and reducing total annual data center energy consumption despite significant company growth. Outside of CoStar Group, we help millions of consumers and real estate professionals achieve their sustainability goals. We pioneered creating transparency around building energy consumption when we were the first to widely publish building rate energy ratings. The CoStar information analytics product provides all subscribers with data in green rated buildings so they can identify locations that are ENERGY STAR bream and LEED certified. In addition, we funded the Journal of Sustainable Real Estate to support academics who study the value of building and investing in sustainable real estate. My colleagues and I have authored economic articles analyzing financial benefits from building and leasing and sustainable buildings. And those papers have been recognized with Best Paper Awards. The United Nations estimates that buildings and construction account for 36% of global final energies and 39% of energy-related carbon dioxide emissions. We believe CoStar Group is part of the solution to that problem, and we're focused on that. Our Apartments.com, Homes.com, LoopNet and Lands marketplaces enabled people all over the world to digitally visit properties for lease or sale without the environmental impact of physically driving to them. As you're aware, the economic recovery persists, but concerns about the virus inflation, the prospect of raising interest rates way on the near-term outlook. Supply constraints and labor shortages are also prevalent, which is further challenging business operations, driving costs and prices higher. As a result, consumers are facing decades high inflation, which is weighing on sentiment and potential spending. But in an inflationary environment, real estate can be a safe haven. In hospitality, leisure demand continues to drive the U.S. hotel recovery. Key metrics, including rooms, sold, occupancy, ADR and RevPAR are all either at or slightly above pre-pandemic levels, which is great news. Business travel, meanwhile, remains constrained as conferences are hampered by the latest variant of the coronavirus. Transaction volume ended the year at record levels, a signal of investors' long-term optimism for hospitality's recovery. In retail, strong consumer spending continues to support a resurgent retail environment. Foot traffic in physical locations has rebounded, especially in open-air shopping centers. Not surprising. Retailers have responded to the increase in consumer spending, and leasing volume is back to pre-pandemic levels. Notably, store openings outpaced store closures, helping to drive net absorption to its highest level since 2017. As a result, rents grew by 2.8%, the strongest pace seen in over a decade. Headwinds for the sector do remain, including waning fiscal support and higher inflation, supply chain disruption, labor shortages as well as an overhang of retail supply in certain segments. In industrial, that sector continues to benefit from the boom in consumer spending and the heightened need for enhanced supply chain networks. Expansions among e-commerce and big-box logistics firms continue to fuel record leasing activity, which is up 60% from pre-pandemic levels. Despite a record amount of speculative supply under construction, there's little risk of overbuilding given such strong demand. Vacancy hit a record low of 4.2%, propelling rent growth to a record 8.6%. In the office sector, uncertainty is still the prevailing theme of the sector. But after two straight quarters of improving leasing activity and slight positive net absorption, the national office market has started to stabilize were showing signs of stabilization and is likely in the early stages of recovery. However, significant headwinds and questions remain. The glut of sublet space remains a drag on the office markets recovery, though office users are increasingly turning to sublet leases for their space needs. It's still a tenant market. And while we've seen marginal increases in occupancy and space rents, such an improvement masks the higher concessionary environment, which is weighing on owner revenue. LoopNet could help those owners get a great lease now. The national multifamily market is expected to normalize in 2022, but the sector remains in historically strong position. Search activity at Apartments.com reached record levels in 2021, thanks to pent-up demand and regional shifts in migration in favor of Sunbelt markets. Record-setting demand is pushing vacancy rates to new lows. In turn, multifamily owners and managers are benefiting from record setting rent growth. Developers are working to deliver new product to meet unrelenting demand, especially in the Southeast. Commercial real estate investment across the board is hitting record levels led by unquenchable interest in multifamily and industrial assets. Retail and office volume is making traction approaching pre-pandemic levels. Meanwhile, volume was up in virtually every major metropolitan area. Pricing is trending higher in all property types. Distressed sales remain a small portion of overall activity, underscoring the prevailing health of the CRE industry. At this point, I’m going to turn the call over to our brilliant Chief Financial Officer, Scott Wheeler.
Scott Wheeler: Excellent. Thank you, Andy.
Andy Florance: You’re welcome.
Scott Wheeler: I thought I’ve achieved a brilliant category today. Hope you think so after reading all these numbers. Certainly appreciate the comments and the great performance of the business in 2021. And obviously, it sounds like there’s no shortage of great opportunities ahead of us. Actually, I particularly enjoyed your throwback charts that you sent me from that 2020 sales conference when you have that itty-bitty TAM from 20 years ago of $1.6 billion. That had grown to – in 2016, when I joined, it was $6 billion we thought it was at that point. And now only five years later, we’re talking about $100 billion TAM size. So I think that’s pretty amazing. Anyway, enough of that giant global TAM mumbo jumbo, let’s talk some financials. So fourth quarter revenue and adjusted EBITDA results were better than expected, both ahead of our consensus. $4 million ahead for revenue and $28 million beat on profit. That was a great way to end the year. Our fourth quarter adjusted EBITDA margin was 38%, demonstrating the strong operating leverage inherent in our business. Our overall organic revenue growth rate was 11% for 2021, continuing a trend of 10 straight years of double-digit or greater organic revenue growth. CoStar revenue grew 13% in the fourth quarter and 9% for the full year of 2021, in line with our previous guidance. Our many product enhancements and our successful shift to a global CoStar platform has resulted in increased demand and improved pricing. We anticipate that this positive growth trend will continue and expect both first quarter and full year 2022 revenue growth of 15% for CoStar. Multifamily revenue grew 6% in the fourth quarter and 13% for the full year of 2021, also in line with the guidance we provided on our last call. As Andy mentioned, we saw Multifamily sales levels improved sequentially in the fourth quarter compared to the third quarter of 2021, although we’re not quite back yet to the level of sales we generated in the early part of 2021. Accordingly, we expect revenue growth rates to remain in the mid-single digits in the first half of 2022 for Multifamily before improving to double-digit growth rates in the second half of 2022. Full year growth rates for revenue in Multifamily should be around 8% to 9% for the full year of 2022. LoopNet revenue grew 13% in the fourth quarter and 15% for the full year of 2021. Our CoStar sales team continues to sell an amazing amount of CoStar. That results in less sales of LoopNet at the lower end of our expectations as we build out our dedicated LoopNet sales team. Regardless, we’ll still grow LoopNet revenue double digits even with a smaller sales team. For 2022, we expect LoopNet revenue growth in the low double digits fluctuating around the 10% to 11% range throughout the year. Admittedly, this is a cautious outlook until our new dedicated sellers ramp up to full production later in 2022. Information services revenue grew 6% in the fourth quarter and 9% for the full year of 2021, in line with our guidance. We expect revenue growth in the mid to high single digits in the first half of 2022, improving to the low double digits in the second half of the year as conditions improve in our hospitality industry. Overall, we expect 2022 revenue for information services to grow 8% to 9% year-over-year. Our residential business delivered $21 million of revenue in the fourth quarter of 2021, slightly ahead of our guidance, with nearly all of the revenue coming from Homesnap products as we complete the wind down of the legacy Homes.com revenue. Homesnap’s pro forma revenue growth was more than 60% in the fourth quarter of 2021. For 2022, we expect residential revenue to be around $70 million, representing growth of approximately 15% year-over-year after adjusting for the runoff of Homes.com product revenues. As we move into 2022, we’ve identified specific residential products that are expected to be part of our long-term growth strategy. These products include the Homesnap Pro Plus agent subscription, Homesnap listing ads and Homesnap Concierge Pro Plus lead management subscriptions, all of which, in aggregate, generated revenue of $55 million or 70% of the 2021 residential revenue. These continuing strategic products are expected to grow around 25% in 2022. By the end of the year, these products are expected to represent over 95% of the residential revenue. Other marketplace revenue was $35 million in the fourth quarter of 2021, well ahead of our guidance estimate of $32 million to $33 million, on the strength of a big finish to the year for our Ten-X platform. In 2022, we expect continued strong growth from Ten-X, along with our lands and businesses for sale marketplaces, all of which are expected to grow around 20% for the year. In total, our other marketplace sector is expected to achieve revenue growth of 20% in 2022, which compares favorably to the 10% pro forma revenue growth rate we had in 2021. Net income was $93 million in the fourth quarter and $293 million for the full year of 2021. Our effective tax rate was 30% for the fourth quarter and 28% for the full year. Included in this effective tax rate for 2021 were onetime increases, primarily from international tax restructuring that will support our future growth. Without these restructurings, our effective tax rate would have been approximately 24% in the fourth quarter and for the full year. Let’s cover a few performance metrics, starting with our net new sales bookings. We achieved $67 million of net new bookings in the fourth quarter and $217 million for the full year. Just like to say that again, but Andy covered all that cool stuff. And our record sales level for the quarter, so I will...
Andy Florance: $217 million.
Scott Wheeler: $217 million, that’s great. Our sales force totaled approximately 825 people at the end of the year, and they certainly had an exceptionally productive fourth quarter with that record sales result. The fourth quarter number is down approximately 25 compared to the third quarter of 2021 as a result of attrition in the Homes.com sales team that joined us in mid-2021. With increased confidence in our ability to train new sellers and visit our customers in person this year, our 2022 outlook includes expansion plans across all of our major sales teams. In January of 2022, we added over 35 new sellers to the ranks, so we’re off to a strong start. Our contract renewal rate was 92% for both the fourth quarter and full year of 2021, unchanged from the third quarter of 2021. The current renewal rate is 200 basis point improvement over the fourth quarter of 2020, with both CoStar and LoopNet improving year-over-year. Renewal rate for the fourth quarter of 2021 for customers who have been subscribers for five years or longer was 97%, up 200 basis points from the fourth quarter of 2020 and consistent with the second and third quarters of this year. Subscription revenue on annual contracts was 77% for both the fourth quarter and the full year 2021, slightly below the fourth quarter of 2020, but slightly higher than the third quarter of this year. These modest fluctuations are a result of improvements in Multifamily, along with increased residential and LoopNet signature ad revenue, which tend to have shorter duration subscription contracts. Now for our 2022 outlook. We expect 2022 revenue to range from $2.145 billion to $2.165 billion, an increase of approximately $210 million at the midpoint of the range, implying an annual growth rate of 11%. Organic growth, excluding the revenue runoff from those legacy Homes.com products, is expected to be around 12%. Before I cover the 2022 adjusted EBITDA outlook and investments, I’d like to highlight the exceptional results we continue to see in our commercial real estate focused product areas, which includes CoStar, Multifamily, LoopNet, Information Services and our other marketplace businesses. A few years back, at the end of 2018, we set ambitious growth goals to reach $3 billion in run rate revenue by the end of 2023 and 40% adjusted EBITDA margins for that year. As a reminder, our $3 billion in run rate revenue goal was comprised of both organic revenue growth of 12% to 14% per year, approximately $600 million to $700 million of new revenue from acquisitions. So how have we performed against these goals? Well, with regards to the organic revenue growth, our performance is right on track in that 12% to 14% revenue growth range for the years 2019 through our 2022 outlook. This highlights the strength and resiliency of our product portfolio as we certainly did not anticipate the significant pandemic revenue slowdown in CoStar in 2020 or the current low vacancy market environment in Multifamily that impacts the growth of that business. Regarding acquisition-related revenue, we added a little over $200 million in acquired revenue since 2018. In that time, we’ve certainly passed on deals that many times that amount given what I consider to be unrealistic valuations and the difficulty of acquiring in a remote work environment. By my estimation, we could have spent around $4 billion to $6 billion of capital to acquire the level of revenue we had assumed in our targets. But rather than chase deals at those high prices, we elected to forego a number of opportunities and focus organically, which currently provides a much better return currently for our shareholders. With regards to our profit target of 40% adjusted EBITDA in 2023, we now expect to achieve that goal one year ahead of schedule and are forecasting 40% adjusted EBITDA for 2022 in the commercial real estate focused product areas. As we’ve either accomplished or on track with our current long-term goals, we believe it’s time to establish new long-range goals as the old goals don’t include our recent expansion into the residential property market or the great opportunity we see there. I will get to the new goals in just a minute. So our adjusted EBITDA outlook for 2022 is comprised of two important components. One is the cash generation, and the second is deploying that capital for our growth investments. First, to cover cash generation, we expect to generate approximately $170 million of incremental adjusted EBITDA in 2022 from the 12% organic revenue growth forecast. This added profit reflects approximately an 80% incremental margin drop-through on new revenue, pretty consistent with what we’ve done in the past. The second component is deploying capital towards our top growth initiatives. First, we plan to invest approximately $20 million in 2022 to expand our many sales forces as well as extend our international footprint in Central Europe. More significantly, as Andy discussed in his remarks, we plan to invest in content, technology and marketing to support our residential expansion strategy. Operating costs and investments for residential, which totaled approximately $100 million in 2021, are expected to increase by around $200 million to $220 million to a range of $300 million to $320 million in 2022. A little over half of that increased investment is focused on proprietary content research with the remaining amount earmarked for marketing and software design and development. So when we combine the cash generation of $170 million with the total investment range of $220 million to $240 million, the result is adjusted EBITDA outlook for the year in the range of $565 million to $605 million. Our adjusted EBITDA margin is expected to be approximately 20% – 27% at the midpoint of that range. First quarter 2022 adjusted EBITDA is expected to be in the range of $155 million to $160 million, indicating a margin of 31% at the midpoint. As we move through 2022, we expect adjusted EBITDA margins in the low 20% range during the second and third quarters of 2022 during the peak marketing and research season. Fourth quarter 2022 adjusted EBITDA margin is expected to improve to around 30%. I’ll wrap up today with a summary of our new long-range targets that I mentioned earlier. These new targets incorporate the significant growth opportunity as well as the required investments for our success in residential market strategy. Our new long-range target is to achieve a $5 billion in revenue and $2 billion in adjusted EBITDA in the year 2027. Implicit in this target is an overall 17% compounded annual revenue growth rate. Our goal is to generate revenue from residential products in the range of $700 million to $1 billion in 2027, which would replicate, if not improve upon the success we’ve demonstrated with our Apartments.com investments. We believe the market size and opportunity in residential is significantly larger than in Multifamily, and we would anticipate investment levels in residential during the early years to increase before becoming profit accretive in a few years. Fortunately, we have a very large and profitable commercial product portfolio that we expect will generate over $800 million of adjusted EBITDA in 2022 and will soon grow to over $1 billion per year. By the end of our long-term target horizon, I would expect adjusted EBITDA margins from the commercial real estate focused product areas of our business to approach 50%. With that, I’d like to add thanks to all of our amazing and hard-working CoStar colleagues for a fantastic 2021. And I certainly look forward to 2022 and what we can accomplish together in those years ahead. So I’ll now turn the call back over to Bill and our operator as they’re going to lead us in a rousing rendition of stump the chops. Bill, back to you.
Bill Warmington: Thank you, Scott. Blue, would you please assemble the queue for Q&A? [Operator Instructions] Thank you. Go ahead, Blue.
Operator: [Operator Instructions] Your first question comes from the line of Sterling Auty from JPMorgan Chase & Co. Your line is now open.
Sterling Auty: Yes. Thanks. Hi, guys. I was just curious, in terms of the investment in residential, help us understand in 2022, how much of that’s going to go into sales and marketing? How much is going to go into R&D? And how that mix will morph as you move towards that 2027 goal? Thank you.
Andy Florance: So the majority of that investment in 2022 is content. So it’s in our wheelhouse. It’s one of our core strengths. It’s collecting content for residential real estate to create a favorable environment for SEO and scaling our traffic to our site. A smaller part of that investment later in the year is towards marketing for the launch of the new site. There’s also a significant component for software development and R&D. Do you want to add anything to that?
Scott Wheeler: Sure. Yes. So Sterling, the content portion is over half of the incremental investment, which is I gave a range of $200 million to $220 million. And then the other portion, which is a little less than half, is probably 60% marketing, but as Andy said, it’s more later part of the year as we get ready for broader product rollout. And then the rest is the technology development and software component, which may seem a little low, but as you know, we have a number of software teams in-house now that shift over and help us develop these new products as will happen with our research teams as well. So we'll expect these things to switch places as we go into 2023. As we'll have most of the content development piece behind us, then we'll shift more into marketing and product launch I would expect in the next year or two.
Operator: Your next question comes from the line of Ashish Sabadra from RBC Capital Markets. Your line is now open.
Ashish Sabadra: Thanks for taking my question. Maybe a quick question around the Multifamily. Again, pretty strong bookings there. Discussion around mid-single-digit growth in the first half and double digit in the back half. I was just wondering how much visibility do you have regarding the acceleration in growth in the back half? Thanks.
Scott Wheeler: Yes. Thanks for the question. We definitely were encouraged when we saw it in the fourth quarter that things came off of the – what we call the bottom in the third quarter, which – as you know, when we run the subscription model out, that low third quarter will affect us in the first and second quarters of 2022. So just by the fact that you get past that and we move into the first half of 2022 into the stronger rental season, I think those natural growth numbers will advance in the second half. Now right now, the success of the team in putting in our new list prices and executing on price increases is pretty much driving all the growth we saw in the fourth quarter. And so we're starting to see signs of increased upgrades and volume coming in to this next year. And assuming that continues, and we'll see those growth rates lift in the second half. So it's still a ways away. We like to keep things a little bit close and cautious as we go into New Year's and let those first couple of quarters play out. Then we'll have a much better site for in the second half.
Operator: Your next question comes from the line of George Tong from Goldman Sachs. Your line is now open.
George Tong: Hi, thanks good afternoon. The $300 million to $320 million in investment spend in residential is a significant step-up. And you mentioned the majority is going into content. Can you elaborate on what kinds of content you're investing in that you currently don't already have in residential that warrants this level of step-up?
Andy Florance: Sure. So it's $200 million incremental investment beyond the baseline of operating Homesnap at Homes that's currently in place. So that content – the area where we're adding a lot of content, if you think about the home shopping experience, there are a number of things that are not about the specific home but are about the place, or in the case of a condominium building, about the community, not about the specific unit. Those are very cost-efficient places to collect valuable content, so neighborhoods, parks, schools, condos. And it creates good SEO drivers, and it creates a good shopper experience that we have tested with the markets and gotten very solid feedback on. One of the things we like about that investment is that while it's a lot of hard work and is aggressive, clearly, it's in our wheelhouse. We have visited millions and millions of buildings across many countries and been able to do that effectively and efficiently. The other thing that's good about that investment is it doesn't just benefit Homes. It benefits Apartments. It benefits LoopNet. It's a pretty broad initiative, strengthening our content across the platform. So we think in comparison to the scope of the TAM and the opportunity and the competitive advantage we perceive we can achieve, we feel it's a very reasonable investment. And was there a second part of that question?
Scott Wheeler: I don't think so, but I'll add a second part of an answer. How is that?
Andy Florance: Let's do that, Scott. Stump the chops.
Scott Wheeler: The content creation that we talked about in the early years, a number of that is onetime gathering of data and media that you've seen us do successfully across many different commercial platforms and markets. And so you would expect that level of investment to drop back in the next year as you then focus more to the marketing and the sales generation on the platforms. So again, considering the size of the market that we're talking about with residential, that's sort of an upfront investment is pretty small compared to the opportunity we see ahead.
Operator: Your next question comes from the line of Pete Christiansen from Citi. Your line is now open.
Pete Christiansen: Good evening guys. Thanks for the question. Andy, there's some helpful comments on M&A during the pandemic, and it sounds like CoStar is now geared more organically going forward from here. But as you think of the potential landscape for M&A going forward, particularly in residential, are there opportunities out there do you believe that could accelerate your scaling up on the resi side here? Thanks.
Andy Florance: Yes. Definitely. We do have irons in the fire. We are looking at things. And there are opportunities to scale and accelerate that. So obviously, as usual, we can't talk about anything until they're real. But there's some pretty significant – there are some significant things out there that we're really focusing as much as anything on strategic, things that we feel will give us valuable content that will help us build the most heavily traffic site over time. And we're not looking to buy revenue per se.
Operator: Your next question comes from the line of Andrew Jeffrey from Truist Securities. Your line is now open.
Andrew Jeffrey: Hey guys, pardon me. Thanks for taking the question. Andy, for those of us, at least for me, speaking for myself, it might be a little bit answered – slower on the uptake. I think one of the things I'd love to hear you articulate-in as concisely as you can, especially in the context of this big stepped up resi investment. What exactly is this – what is the strategy, right? I mean I just want to understand who you're going, again I realize it's a big TAM, right? We all get that. Who are you going up against? How do you plan to monetize? How do you plan to displace competitors, which I assume are companies like Zillow and Redfin and Zumper[ph]? I mean I think just really concisely, I think investors want to know why you're spending all this money on and not what you're spending and what the return can be and how you get from point A to point B?
Andy Florance: Yes. So in terms of what you're investing in, we have been – at the core, we have gotten clear market research that says there's demand for collaboration. It's really simple. Today, agents and buyers really exist in two disconnected ecosystems, though they have to collaborate in the overwhelming majority of deals. So we're building platforms where they can share content back and forth. When a buyer favorites a property, their agent can see it. When an agent must recommend a property, goes into the favorite list of the client, pretty straightforward. We've tested that with consumers all over the country and agents all over the country, gotten very positive feedback, along with a number of other software components and features. So that's one of – that's a big theme. So working with the industry rather than working to just intermediate the industry. And that's something that worked well for us in the apartment industry. It's worked well for us in the in the LoopNet side of the business, CoStar, Lands of America. So it's a proven model, and it's unique in the residential space. We're the only ones doing it where you work with the industry rather than more towards a disintermediation. In terms of SEO and content, we asked consumers what's really important to them, what they care about in the site, what they're looking for when they select a new home. You wouldn't be surprised to find out that for couples from the age of 25 to 40, schools are important. And in a focused group, they all lean forward when you show them pictures of the neighborhood school. And leaning forward to a focused group is good. That's something we like to get people to do. So we have tested and tested and tested, and we found content that people care about and like that isn't currently offered. So if you look at the current portals, they're all about taking content that other people have produced and repackaging it. And there's not a lot of original content being produced on those portals. There's opportunity to cost effectively produce content that we believe appeals to consumers. So in this case, I'm using something super simple like a picture of the local school or information about neighborhoods, something that we've done before and done quite successfully. So the neighborhood information in – the neighbor information apartments helped us grow from being number seven in SEO to being number one in SEO. So that kind of stuff we've done strategically. And if you look back to when we launched Apartments.com, we did exactly this. We put a lot of people on producing content that gave us SEO advantage, and it worked. And – so it's tested. I don't want to write out a road map in plain English for everyone to hear, but I'm trying to give you some balance between them. And it's not rocket science. It might be science, but it's not rocket science. And it's fairly straightforward. And if you look at what CoStar is good at, we're good at SEO. We're good at content development. We're good at taking pictures of – millions and millions and millions of pictures. And we are good at collaborating with the industry and building successful models in collaboration. And so that's – we're going to our strength.
Operator: Your next question comes from the line of...
Andy Florance: I'm sorry. I'll just add one more thing. How you monetize it? Pretty straightforward. And it should mystify people. You monetize it just the way we monetize Apartments.com or LoopNet or Lands of America. People will pay for enhanced exposure to generate more leads or more activity on properties they're selling. That's the single biggest revenue opportunity in real estate. The second way to monetize it is by letting people market their agency services in a way that is not repugnant to the industry, in a way that is supportive of the industry instead of repugnant to the industry. So that's pretty straightforward. And the question of how we compete against other people, CoStar Group has a track record of competing against other people effectively, and I think we'll rest on our record.
Operator: Your next question comes from the line of Mayank Tandon from Needham. Your line is now open.
Kyle Peterson: Hey, good afternoon. This is actually Kyle Peterson on for Mayank. Thanks for taking the quesiton. Just wanted to see if there was any notable seasonality that we should keep in mind for particularly the residential bucket given that there's some runoff from Homes.com, but then also little bit of seasonality in the resi real estate industry and also some pretty strong organic growth in a lot of the core underlying businesses that you guys highlighted.
Scott Wheeler: Yes. Sure. We do see seasonality not too much different than what we saw when we first jumped into the apartment space where you have apartments as a rental season in the spring and the summer months that would then cool off after kids went back to school. In the residential side, you see a similar pattern where things will start off, I'll say, at a moderate level in – to start the year. And then it picks up in the spring and the summer months, and then by the time we get to the end of the year, the fourth quarter is going to be the weakest as far as new engagement and involvement in the industry. So we think second and third quarter is the biggest. Fourth quarter is the lightest, and first quarter falls somewhere in between. We also expect that's where our investment focus will also follow that pattern when you talk about marketing and being able to collect valuable content during nicer months of the year than versus snowy cold wintery months of the year.
Andy Florance: You could actually look storage on our servers, and you can tell the weather by how many terabits we're putting into the system. So you can actually see the weather in our storage.
Operator: Your next question comes from the line of Ryan Tomasello from KBW. Your line is now open.
Ryan Tomasello: Good evening, thanks for taking the questions. I was hoping you can put a finer point on some of the drivers the guidance for Multifamily growth this year, specifically what you're contemplating for the mix of pricing increases versus new community count growth as well as any potential color around the revenue mix among the different segments of the market, 100-plus unit mid-market and the landlord – independent landlord long tail. I know in the past, you provided growth rates around those different buckets. So it'd be helpful to understand how all of that is layering up into your outlook for this year. Thanks.
Scott Wheeler: Sure. So in the early part of the year, we expect the revenue growth really from the list price and the pricing initiatives that we've implemented. The sales force is doing a great job of getting around to the customers. And as we mentioned in the comments, we are not seeing people drop off the platform. We certainly see some of the fuller buildings in the market, like we commented, I think, last quarter, that might rotate off while other buildings rotate on within a customer's portfolio. So you see a few less properties in total, but you definitely see people staying on the platform. And the pricing initiatives have been very successful. So I expect all the growth in the first half of the year is pretty much from pricing. And then as you get more volumes into the spring and summer season, those volumes will carry over, and you'll start to see, I think, more upgrades, fewer downgrades and a little more volume in the second half to get us back to that double-digit growth.
Andy Florance: And we're still focused on – we're still definitely focused on increasing penetration to new roofs in institutional and the multifamily, the mid-market and the independent owners. There is still significant penetration opportunity there. We plan to continue to grow the sales force to be able to basically touch more of those prospects, and we believe we can do that well. The pandemic was a slow time for being able to grow. And more importantly, train sales forces is getting a lot easier. And we just finished up our first in-person sales conference in two years down in Miami, Florida. And as the guy who spends the first four hours up on stage talking to the sales force, I will tell you without a question, we have a much bigger sales force today than we did two years ago. It is getting quite large. And I'd say that group is very motivated and very positive right now and is producing at some of the highest levels they produced at to – with the record quarter. And so adding into that group, we think, is going to be possible to be able to go for more penetration. But Scott is really forecasting more off of pricing. And one thing about the pricing, we are providing more and more value to our customers. As our traffic success grows, our leads grow. And as our leads grow, our price per lead naturally goes down when we're pricing at the community level. So there's lots of room to get recognition from our customers for the additional value we're providing them, an increased lead flow. In essence, they're getting better and better values on lead flow. Their pricing per community might be going up. So a share shift to us from – possibly from other marketing vehicles.
Operator: Your next question comes from the line of Stephen Sheldon from William Blair. Your line is now open.
Stephen Sheldon: Hey, thanks. So I guess on the sales force side, it seems like some of the sales force build-out have been a little slower than expected and are weighing on growth, especially looking at LoopNet. So I guess at a high level, is there anything you need to do better to hire and retain sales resources across the company as you think about 2022 in the next few years?
Andy Florance: Yes. I think we are having – I think we need to – like the most important part of the equation is it's great to have geese that lay golden eggs. What's even better is to have geese that lay golden eggs. So those are recruiters. And one of the things we're doing is we're looking within our own sales force for people that want to evolve their careers or – into moving in the recruiting space. And I think our training programs are pretty darn good at this point. And our onboarding is getting – our success rate as people come on board is getting better. But our sales force is getting pretty large. Again, as you sit there and look at 1,000 people at our sales conference, it is growing. With LoopNet in particular, that is something – just like Apartments.com is following that same trajectory where initially, Apartments.com was sold by the CoStar Group. And eventually, we built our stand-alone sales force to sell Apartments. LoopNet is in that same phase, and we're having some success. As I look at the individual metrics of people going into LoopNet, the salespeople going into that group, stand-alone sales force, they're producing at much better numbers that we saw during the pandemic as we tried to onboard people. And in fact, there's some real success stories in that group. So there's – I think our number 2 producer – number 1 producer, I believe, started with us like just – like two years ago. So – and then we have David Malley, [ph] who just joined us from Homes.com who's an experienced operations executive, now running the LoopNet Group, which is good leadership. And Mark Mathis, who actually started with CoStar many years ago, was a senior player at Realtor, running their sales org, has been with Homes, who's now running the LoopNet team. So we're beginning to bolt the group up, and it's a process. It will be another two or three years before we have a robust several hundred person large LoopNet sales team, but we will get there just like we did with Apartments.
Operator: Your next question comes from the line of John Campbell from Stephens Inc. Your line is now open.
John Campbell: Hey guys. Thanks for taking my question. Just a quick one here. I mean I think on the sizable residential reinvestment cycle, I mean, I think that was a pretty common fear factor shared across the investor base. The push and pull around that is, I think, partly behind – the stock is on a 52-week low here. But your core business, it seems to be in a great spot. You've got this big bet on resi, kind of being more of an offensive move by you guys. You guys do sound pretty convicted you've got framework around eventually driving up those returns. So I mean, obviously, with things progressing as you guys expected, you've got kind of stock that's kind of dislocated here. I'm sure you guys are eventually waiting for this question, but you've got nearly $4 billion of cash on the balance sheet. It sounds like M&A is maybe a little bit less of a focus in favor of the core. But just give us your latest views on the buyback and how that might change if there's any further dislocation in the stock. Thanks.
Andy Florance: I think that's a great question, and I will turn that over to Scott Wheeler.
Scott Wheeler: Yes, Andy. We certainly saw a period here in the last – well, it's really only been a year. We just raised a bunch of that capital in mid-2020. So we're really only 1.5 years since money came on board. And certainly a period of high multiples and valuations have weighed a little bit on the pace of our acquisitions. I wouldn't go so far to say that we're not focused on acquisitions anymore. So we definitely are still very seriously focused on acquisitions. And our initial thesis when we brought in the capital is it's going to take probably about five years for us to burn through that as we do deals across the platform. So I think we're still committed to that strategy right now. Obviously, if this continues up for another year, year or two pace, we might have a different conversation. But for now, that's still our direction, and we're focused on putting that money to work first in acquisitions. And then to the extent we need it on organic, we'd do that as well. But like you said, our organic commercial business is producing pretty significant cash flow now. And that's very helpful when you look at our ability to invest in residential and still return – we're still going to do almost $600 million of EBITDA next year even with, as you put it, a big offensive investment. So we're pretty comfortable with the math and the balance of where we are.
Andy Florance: Yes. And when you look at our past track record, we are an acquisitive company. And we've acquired Homesnap, Homes, STR recently. There are things out there, but we are value-sensitive. And I would imagine that over the course of the next three years, four years, we would probably use a lot of that capital and acquisitions.
Operator: Your last question comes from the line of Jeff Mueler from Baird. Your line is now open.
Jeff Mueler: Yes, thanks for putting me in. So I appreciate the confidence in the strategy working out over the next several years. But just help investors understand like what are the KPIs as you think about keeping incremental spend through the three stages of your strategy. And then on, I guess, monetization lagging, I understand the new product phase of it spooling up as products launch starting in early 2023. But on the existing resi revenue, I think you said $70 million in 2022, and you had over like $20 million or around there of Homesnap revenue in Q4, so you're already run rating above that. If you could just help us understand why there's not better monetization on – or a better ramp on that existing monetization.
Andy Florance: Yes. So we're really going for the billions, not the hundreds of millions is what it is. And so the most important role Homesnap plays to the company is growing the participating agent user base and getting deeper engagement with those users. So we – you see us up in the 770,000 agents registered. You see us growing the number of folks paying for the premium version. We have multiple products we can sell over at Homesnap. We can sell sort of retargeting and Facebook ads and Instagram and Waze and all kinds of stuff. Those are the higher dollar value things, but they're less strategic. Like getting an agent to buy the $30, $40, $50 a month premium version of Homesnap is much more valuable to us and that they use and engage in the product more. The agents are the key to the supply side of the real estate industry, and we want to be the first place they go when they have a new listing or when they approach the market or when they want to distribute content to their customers. So on the – so that – we're – we are going for the big win not the second or third quarter. And in terms of KPIs, if you go back to that three-step process of grow, monetize and scale. Grow is where we are, and grow is where we will be into 2023. And that is growing content, growing users, growing unique visitors, growing engagement and relevancy. So we do not believe that we should pull the monetizing lever when you haven't scaled traffic. So you are – if you try to pull the monetizing lever before you scale traffic, you're going to be setting price points well below what you could set a year or two out. So we want to build engagement, grow that engagement, grow the unique visits. And for KPI, I would recommend that as we launch the new product, you look at our site traffic, our engagement. In the shorter term, you can look at the volume of content coming out of the site. And in a little basis, you can see that right now. Homes.com unique visitors doubled year-over-year, keep doubling. After a while, it gets larger. And so then the next thing you're going to be looking for in 2023 – we'll continue to grow and monetize Homesnap. It's a great product that people like, and it's getting better. And as you go into 2023, you'll be looking for new high margin products that will be available on Homes.com, whether it's marking agency in a responsible way or in an industry aligned way, or if it's marketing actual – helping people market their actual properties. And the first revenue you see coming in may be measured in tens of millions of dollars, but you can then understand – you now understand the price points and you can understand the penetration opportunity you could begin to paint out a 10-year picture. The scale is – the scaling, more meaningful levels, is probably 2024. And that's when we're beginning to challenge some of our other product areas and move towards that $1 billion revenue goal. So we'll talk about the KPIs in each one of those 3 phases. And I think we are – it's obviously a huge industry. There are some solid competitors out there. So it is not a get rich quick scheme. It's a work hard, build a plan and have a multiyear vision of where you're going. But we'll be able to talk about the KPIs at each of those three phases.
Operator: There are no further questions at this time. I will now turn the call back over to Andy Florance, Founder and CEO.
Andy Florance: Well, thank you, everybody, for joining us for the – for our fourth quarter 2021 earnings call. We're excited about the initiatives we've got going on here. We're very excited about the residential initiative. Our core business is obviously showing great momentum. We're very proud of what we've accomplished. And I want to congratulate our sales leaders, Marc Swartz, Paige Forrest, Brandon Lu, Tim Condon, David Gibson, Joe Valero, and others and their teams who just turned in our best bookings quarter ever with our best – with November, December and January being three of our four strongest sales months ever. Look forward to them continuing to turn in a great result throughout 2022. We believe that the market conditions in residential sector, combined with our strength in our core business, makes this the right time to accelerate our investment in residential and lay the foundation for growth that will enable us to reach our new five-year financial goals. So with our expansion into the residential properties sector, I believe that our investments will yield $5 billion in revenue for CoStar Group in 2027. I'm confident in our ability to scale our information and marketplace business to deliver attractive returns with adjusted EBITDA margins at or above 40% when we achieve that $5 billion in revenue. We look forward to meeting with you again in our first quarter call on April 26 at the same time, on the same channel. Until then, stay safe, and thank you very much for participating. Thank you, Bill. Thank you, Scott. Enjoy doing this earnings call with you.
Bill Warmington: Yes. Thank you. Great.
Scott Wheeler: Thank you. Good night, everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.